Arne Mogster: Then it's a pleasure for me to welcome you to Austevoll's second quarter presentation. I would first start taking you through the highlights of the quarter. Thereafter, I would go through segment by segment and our performance in the quarter and try to give some insights in the quarter we are into now. Britt Kathrine Drivenes, our CFO, will take you through more in detail the numbers for second quarter. And I will end this session by giving our view on the different segments we are operating within. So starting up, I would say we are quite satisfied with the volumes we have pushed through, I would say, all our different subsidiaries in the quarter. But again, we have been harmed by falling prices both on salmon and trout and on fishmeal and fish oil this quarter versus same quarter last year, which has been putting pressure on margins. So we are delivering a weaker financial result in this quarter versus the same quarter last year, and I will take you more in detail when I'm going through the different segments. So all in all, revenue of NOK 10 billion, EBITDA of NOK 1.3 billion and EBIT of NOK 754 million. Last year, we had a gain of sales of 2 fishing vessels at NOK 1.2 billion. So comparing this quarter with last quarter, you have to take that into the consideration. Going down on the bottom left on the table, we have excluded the gain of sales and included 50% share of Pelagia numbers. And you can see we have an EBITDA of NOK 1.3 billion, where salmon and whitefish segments are contributing with NOK 1.1 billion. And the Pelagic segment is down by NOK 450 million to NOK 200 million, mainly driven by the performance in our Peruvian entity and our Norwegian activity mainly because of a reduction in the fishmeal and fish oil, marine oil prices in particular. Looking at first half year, just below NOK 20 billion in revenue, EBITDA of NOK 3.2 billion and an EBIT of NOK 2.1 billion. We have a total asset of NOK 52 billion, equity share of 52% and net interest-bearing debt of NOK 9 billion. And it's also satisfying to see that despite the reduction of prices we have seen in first half, we are now delivering a better contribution from Lerøy first half comparing with first half 2024. Austevoll Seafood is all about volumes. We are now aiming to catch in 2025 just below 500,000 tonnes of pelagic fish on our own quotas. If you include the fish we are purchasing from third parties, we are aiming to handle 1.9 million tonnes in both Chile, Peru and here in the North Atlantic. We are the largest whitefish producer in Norway and aiming to catch and produce approximately 80,000 tonnes in total. And this year, we also have ambitions to slaughter just below 220,000 tonnes of salmon. Then starting up -- going through segment by segment, starting up in Peru. And I would say in advance of the first season in Peru, they had a record high biomass measure of just over 11 million tonnes and the quota was set on 3 million tonnes. The season started up the 22nd of April and stopped 23rd of July. And as you can see, it was only approximately 83% of the total quota which were harvested. So approximately 17% were left in the ocean from the first season, and this is also reflecting the performance of Austevoll, our company. And I would say that the season started up extremely well. In the first half of the season, our catch level was extremely good. And then I will say the oceanographic condition changed. The fishery was impacted by a high presence of juveniles, meaning that the area were closed, and also a higher salinity level were pushing the fish closer to shore where we don't have access. So in that case, we were happy, I would say, with the volume we've been able to catch. But I would say, second half, the costs were much higher than too it was in the first half, which also reflecting those margins. If you compare with the last season in 2024, you can also see that the yields are considerably lower both, I would say, for fishmeal and in particular on fish oil, which also impacted the margins. And also the fish oil prices was approximately 50% of the fish oil prices we had in second quarter 2025. So all in all, volume was okay but it was -- the result is impacted by increasing cost, second half lower yields and also falling prices. In Chile also, we have seen falling prices both on fishmeal, fish oil and also on frozen products. But I would say Chile is delivering better this quarter than last quarter. Britt will take you through that afterwards. In terms of volumes, more or less on the same level. And first half is a record year for us with 84,000 tonnes versus 75,000 tonnes same period last year. When we did our first quarter presentation, we didn't know when the new fishing law was coming into place, and we guided on 65,000 tonnes for 2025. But the new fishing law is not counting before 2026, meaning that the volume this year is going to be a bit higher than we guided last quarter. All in all, we are expecting in 2025 to produce 140,000 tonnes of jack mackerel, a bit higher than last year as a consequence of the new volume coming in. The new fishing act will come into force in 2026. And of course, I would say, the fishing industry is a capital- intensive industry. We are doing investments for 20 to 25 years' depreciations. And it's, of course, not ideal for us, changing the distribution from 90% to the industry to 70% of the industry. And the predictability is challenged and it's getting more difficult to do investment based on that. In addition to the change of distribution, it's also implemented in 2026 a new international quota tax when you are buying quota from outside Chilean waters on $95 per tonne which, of course, also is changing the predictability and, of course, might impact the financial result also for 2026. When it comes to the North Atlantic pelagic quotas, previously if you look from 2014 to 2024, it's been a quite stable outtake with average of 3.5 million tonnes in the North Atlantic. While you see in 2025, the volume is down by approximately 500,000 tonnes, mainly driven by the Barents Sea capelin is down, sand eel quota is out and mackerel quota is down by 22%. North Sea herring quota is down 21%, meaning that there's a higher competition in order to get raw material. For the Pelagia segment, again, looking at volumes, it's not far away from the volumes we had last year. I would say we have received blue whiting and trimmings from both herring and salmon in the quarter. But it's also fair to say that we have experienced decreasing prices in particular on marine oils, both on salmon oils and fish oil, which is putting pressure a lot on margins and also total earnings this year versus same period last year. And I would say the drop in the financial result in Pelagia in this quarter is mainly coming from the drop in margins from the fish feed or fishmeal segment. When it comes to the direct human consumption production, volume-wise, better than last year. We have committed a good North Sea herring season. And it's also fair to say that the period we are now entering into is the most critical period for this segment when the mackerel season is starting up and also the herring in the end of the year. So I would say, so far, the food segment is delivering according to the expectation. Then looking at the results, you can see that the result is down by NOK 260 million. And again, the majority of the explanation is that the raw material has been too high priced according to what the market is paying for, in particular fish oil and marine oil, in the quarter. Then entering into the salmon and whitefish segments. And I would say it's fair to say that Lerøy has shown a quite good biological performance compared with same quarter last year. I would say the growth, mortality, superior share and also the slaughtering in the quarter has been far better than it was same quarter last year. And we're also seeing that the underlying result now is improving as a consequence of the different measures which has been done in Lerøy. But that's more than compensated by a drop of the spot price. So spot price is down NOK 30 per kilo versus same quarter last year. And you can also see that EBIT per kilo is down by approximately NOK 15 per kilo, meaning that we are performing much better if you look at the reduction of prices. Volume-wise, up with 33%. It's double volume in Lerøy Aurora in the quarter, 11,000 tonnes; Lerøy Midt, 19,000 tonnes; Lerøy Sjøtroll, 21,000 tonnes in the quarter. EBIT per kilo of NOK 12.4, which is distributed with NOK 19 per kilo in Lerøy Aurora, NOK 11.5 per kilo in Lerøy Midt and just below NOK 10 per kilo in Lerøy Sjøtroll and Lerøy West. Maintaining the guidance, 195,000 tonnes in Norway and 16,000 tonnes in our share in Scotland, bringing the total volumes of Lerøy to 211,000 tonnes expecting slaughter in 2025. It's also comforting looking at the financial performance on the wild catch side of Lerøy Seafood Group, although we have a reduction of the filet mignon in the whitefish segment, a quota of 31%. And we are seeing that the increase of prices is more than compensating for the drop of the quota. We have an increase of cod prices of 22%, the increase of haddock quota of 55% and saithe quota of 69% comparing with the same quarter last year. And you also see that we are more or less having the same volumes left for the remaining of the year. But I would say the two first quarters in the wild catch segment is the most important quarter for the financial result of the wild catch. Then I will give the floor to Britt Kathrine.
Britt Kathrine Drivenes: Thank you, Arne. As usual, we start by looking at the table that summarize the volumes for the different companies in the quarter. And I would like to highlight that we have a substantial increase in slaughtered volume of salmon and trout, 57,000 tonnes compared to 45,000 tonnes in same quarter last year. And that is due to a clear improvement in biology in Lerøy and also the increase is coming from Lerøy. Arne has taken you through the key figures so I will not repeat too much. But this graph includes our 50% share of Pelagia in the revenue and the EBITDA and shows the changes in revenue and EBITDA from second quarter last year. I would like to highlight that in second quarter in 2024, we had a large one-off. Br. Birkeland sold shares in 2 pelagic companies, and you can see the change in the graph here which, of course, affect Q2 last year substantially. So it's not quite comparable. If we look at the revenue and look at the revenue excluded this one-off, there is a 12% increase in revenue this quarter compared with same quarter last year. I will comment a little bit more in detail on the earnings when we come to the different companies. The operating revenue in second quarter was close to NOK 10.1 billion, up from NOK 8.6 billion, which is an increase of 17%. And as you can see here, we have the total gain from the sale of shares, the one-off in second quarter last year of close to NOK 1.3 billion. The EBITDA in the quarter was NOK 1.3 billion compared to EBITDA of NOK 1.8 billion if we exclude the one-off related to the sale of shares. And that is down NOK 480 million. And as Arne has mentioned already, we have seen a significant reduction in the prices for salmon and trout which, of course, has impacted the earnings from the farming activity. In addition, there has been a decrease in prices for fishmeal and fish oil, which has also affected our earnings in South America. Depreciation has increased. It's NOK 544 million, up from NOK 502 million, and can be explained by investment program in new technology in farming but also some investment in increased capacity related to service and treatment vessels. Income from associated companies are substantially down, minus NOK 13 million, down from NOK 142 million. The 2 largest associated companies are Pelagia and Norskott Havbruk, which owns the Scottish Sea Farms, the Scottish farming company. Arne has already commented on Pelagia and the result there and the reason for the decrease in earnings from that company. When it comes to Norskott, the reason behind the reduction in earnings there are, of course, linked to the substantial reduction in salmon prices in the quarter. We have a negative fair value adjustment related to biological assets, and I have to comment that this biomass adjustment does not have any cash effect. It was minus NOK 513 million in the quarter. It was positive same quarter last year, NOK 178 million. To sum up, this gives us an operating profit of NOK 128 million, down from NOK 2.8 million. But again, I have to remind you that last year, we had a one-off related to a gain from sale of shares of close to NOK 1.3 billion. Net profit is NOK 106 million, and that gives an earnings per share of NOK 0.3. If we adjust for the biomass adjustment, the earnings per share is NOK 1.3, down from NOK 5.10 in same quarter last year. The main value drivers for Lerøy is, of course, slaughtered volume of salmon and trout and also the catch volume really in the wild catch segment. The slaughtered volume is up 33% and close to 49,000 tonnes. There has been, as I mentioned, a clear improvement in biology, and this has also given us lower cost per kilogram year-on-year. Prices, however, has been substantially lower, spot prices down NOK 30 in the quarter. And this has given us a substantial decrease in earnings related to the farming part of the segment -- of the company. If we look at the EBIT adjusted per kilo in the value chain, and this includes the earnings from farming in the VAP sales and distribution segment, that is NOK 12.4, down from NOK 27.1. The VAP sales and distribution segment has continued its positive development, had a record quarter. There has been structural improvements and also a strong demand in the end market. And the EBIT from this segment is NOK 351 million, up from NOK 217 million in same quarter last year. Within wild catch, there has been a significant quota reduction and that, of course, impacts the cash volume for the trawling fleet. But we have seen also a substantial increase in prices for our raw material, and that has compensated for the reduction in quotas. However, this is quite challenging for the onshore activity because a combination of lower raw material and combined with higher raw material prices is extremely challenging. And catch volume is more or less in line with same quarter last year and the increase in prices has given a quite good contribution to the segment. And the EBIT here is NOK 148 million, up from a negative EBIT of NOK 4 million in same quarter last year. Going into -- looking at Austral Group in Peru. And the first fishing season started up 22nd of April. Austral caught 160,000 tonnes in Q2. And in the beginning of the season, during April and May, we had very high daily catch rate. However, due to sea conditions and other factors, the daily catch rates slowed substantially in June and July which, of course, has impacted our cost on this production from the season. Sales volumes are substantially up. However, prices are down, fishmeal prices, down 11%; fish oil 58%. And that, of course, impact quite significantly the earnings in the quarter. Revenue in the quarter of NOK 691 million and EBITDA of NOK 85 million and an EBIT of NOK 26 million, down from NOK 233 million in the same quarter last year. Our inventory by end of second quarter is a little bit over 42,000 tonnes of fishmeal and over 5,000 tonnes of fish oil. Chile had a high activity in the quarter despite the stop in fishing for 27 days in May, waiting for the final quotas to be settled for 2025, as Arne has already explained when he went through the operation in Chile in the quarter. We have had higher sales volumes for frozen products and fishmeal and a little bit decrease in sales volume for fish oil. Price achievements are down: fishmeal down, 17%; fish oil, down 68%; and frozen, down 16%. The revenue came in at NOK 400 million, the EBITDA at NOK 94 million and the EBIT at NOK 80 million, an increase from the NOK 61 million in same quarter last year. Kobbevik og Furuholmen is a small farming company on the West Coast of Norway, and they have slaughtered a little bit less than 2,000 tonnes in the quarter, which is 25% down compared to same quarter last year. The company sells all its fish in the spot market and, of course, are significantly impacted by the decrease in spot benchmark prices of NOK 30 in this quarter compared with the same quarter last year. In addition, we have had a cost increase year-on-year due to slaughtering from a high-cost site. So the EBIT per kilo is negative NOK 4.3, down from a positive of NOK 45.2 in the same quarter last year. And last year, we had the opposite situation. We were slaughtering from a low-cost site in addition to a substantially higher price achievement. The company has finalized their slaughtering from this high cost site now in Q3. Revenue in the quarter was NOK 160 million, EBITDA of NOK 4 million and a negative EBIT of NOK 8 million. Br. Birkeland. Second quarter this year is not comparable with second quarter last year. As you can see, we had this one-off because we sold the shares in 2 pelagic companies in second quarter in 2024. The remaining operation in Br. Birkeland is 2 vessels fishing snow crab and they finalized the quota now in second quarter. And as we also commented when we reported our first quarter figures, there has been a substantially higher price achievement in 2025 compared with 2024. Since they have finalized their quotas for the year, there will be no activity for the remaining 2025, and necessary maintenance are carried out in this laid-up period. Revenue in the quarter was NOK 55 million, EBITDA of NOK 11 million and EBIT of NOK 6 million. Looking at our statement of financial positions. We have total assets close to NOK 52 billion by the end of June this year compared to close to NOK 54 million by the end of June last year. As you can see, we have had an increase in tangle fixed assets. And I mentioned it already, we have been investing in new -- in addition to the maintenance CapEx, we have invested in, among others, shielding technology in farming. And also, we have bought 2 secondhand fishing vessels this quarter, one for Peru and one for Chile. Looking at the biological assets at cost. We have a higher standing biomass and that increased this line and the line, biological assets at cost. Also there is a sharp reduction in fair value adjustment of biomass, looking by the end of this quarter compared to same quarter last year. And finally, also our cash position is down. And the cash position by the end of June in 2024 was highly impacted by the income from the sale of shares in the 2 pelagic companies, and that was close to NOK 2 billion. Net interest-bearing debt by the end of June is NOK 9.1 billion, up from NOK 6.1 billion by end of June last year. We have a very strong balance sheet and we have an equity ratio of 52%. Looking into our cash flow. The cash from operating activity was NOK 1.2 billion in second quarter this year. And looking at first half, it was close to NOK 2.8 billion, and that is substantially up compared to same periods in 2024 and reflects a very positive development in working capital now in 2025. Cash from investing activity is minus NOK 430 million. And in addition to the maintenance CapEx, we have also, as I mentioned, bought 2 secondhand fishing vessels in the second quarter. Last year, the cash from investing activity was impacted by this one-off sale of shares of close to -- which was close to NOK 2 billion. Cash from financing activity is minus NOK 1.5 billion. And as you can see, we have paid a dividend of close to NOK 2.1 billion, and that is up from NOK 1.6 billion in same quarter last year. And to sum up, we started the quarter with a cash position close of NOK 5.2 billion, and we ended the quarter with a cash position of close to NOK 4.5 billion. Then, Arne, I give the floor to you.
Arne Mogster: Then I'm shortly going to take you through the outlook in the different segments we are operating within. Starting up with the fishmeal segments. And as you can see, fishmeal volumes among the largest producers, up by 13%, mainly driven by an increase of 21% from Peru and 16.5% of Chile. Repeatedly, you can see that volumes more or less on the same level from Peru in second season than same season last year. And prices now is $1,740 for high-quality fishmeal and approximately a discount of $220 for standard. Also looking into China, which is the main market for fishmeal. We are seeing that stock-wise, it's 27% up versus same period last year. I think China has been taking approximately 80% of the volumes from the Peruvian production, and the offtake is on a high level and it's limited volume left to be traded. So now we are concentrating on the next season's quota to sell to China. You can also see prices is a bit higher in China, also stimulating to additional trade. Fish oil, less increase than fishmeal, 4.5% up. And you can see it's negative due to the low yield in the seasons in Peru. Price has been dropping, $2,400 per tonne for feed grade and over $3,000 for Omega-3 grade in the quarter. Then taking a look into the salmon supply. And I can see, in 2025, it's a 9% increase in the total supply worldwide, in Europe, 10% up; and Norway, 10.4% up. So I would say we are coming from 3 years with 0 growth to a year with approximately 10% growth. And looking into 2026, the expectation out of Europe is just below 1% and, Norway, more or less on the same level, meaning that the MIB regulation is, I would say, fully utilized in 2025. And there is limited room to grow based on the license we are having in Norway for 2026 which, of course, could also give some basis for improving prices. So we don't expect the same supply increase in '26 as it was in 2025. And one of the explanation behind the lower prices we are experiencing now is the volumes coming out of Europe, which has been tremendously higher on a monthly basis than it was, I would say, the last 3 years before. And you can see also that volumes also continued to increase in July. And thereafter, you see that the expectation is 0 growth for the remaining of the year. So I will say we are expecting a flat supply going forward from August until December. And as a consequence of the higher volume coming in, you can also see that spot prices is considerably lower in second quarter. And now you can see that spot prices is lower than the operational cost of raising a kilo of salmon. So what we are experiencing now as an industry is too low prices versus the cost it is to produce. Market-wise, EU, again, the main market for Norwegian salmon, increased by 9% during this year; other markets mainly driven by demand from Asia is up by 15%; and U.S. market is up by 12%. So summing up. I would say we are satisfied with the biological performance in Lerøy, and you can also see that the measures we have initiated is now showing and also reflecting in the financial result. We have had a contract share of 30% in the second quarter, expecting 25% by the end of the year. And again, as spot prices now we are seeing is below production cost, that will, of course, impact the profitability. When it comes to white fish, the cod quota as mentioned was down by 31%. But I would say that the increase of prices has more than contributed the reduction of quota. I also see that the 2026 quota is down by 21%, but we are expecting that, that will be the floor and we are expecting also volumes to come up after that. South America, we are satisfied with the volume but again not happy with the profitability for the season. And we have to admit that the cost by second half of the season were higher than what we were expecting and is also impacting the financial result, together with lower prices achieved in particular for the fish oil. Chile, again, we're going to have a good year in Chile, and the new changes in the fishing law will have a new distribution. Depending on the increase of quota for next year, we are expecting that the volume drop will go anywhere from 13,000 tonnes to 6,000 tonnes, depending if we have a 5% increase of quota or 15% increase of quota. And then North Atlantic, we are into the most important period for our food division. And again, we are seeing pressure margins on the food division which impact the financial result, in particular, in second quarter. Thank you.